Operator: Good day. My name is Hillary, and I will be your conference facilitator. I would like to welcome everyone to Aeva Technologies Fourth Quarter and Full Year 2021 Earnings Conference Call. During the opening remarks, all participants will be in a listen-only mode. Following the opening remarks, we will conduct a question-and-answer session. As a reminder, today's conference call is being recorded and simultaneously webcast. I would now like to turn the call over to Andrew Fung, Director of Investor Relations. Andrew, please go ahead.
Andrew Fung: Thank you and welcome everyone to Aeva's fourth quarter and full year 2021 earnings conference call. Joining on the call today are Soroush Salehian, Aeva's Co-Founder and CEO; and Saurabh Sinha, Aeva's CFO. Ahead of this call, we issued our fourth quarter and full year press release and presentation, which we will refer to today and can be found on our Investor Relations website, at investors.aeva.ai. Please note that on this call, we will be making forward-looking statements based on current expectations and assumptions, which are subject to risks and uncertainties. These statements reflect our views only as of today, and should not be relied upon as representative of our views as of any subsequent date. These statements are subject to a variety of risks and uncertainties that could cause actual results to differ materially from expectations. For a further discussion of the material risks and other important factors that could affect our financial results, please refer to our filings with the SEC, including our Form 10-Q for the quarter ended September 30, 2021. In addition, during today's call, we will discuss non-GAAP financial measures, which we believe are useful as supplemental measures of Aeva's performance. These non-GAAP measures should be considered in addition to and not as a substitute for or in isolation from GAAP results. A webcast replay of this call will be available on our company website under the Investor Relations link. With that, let me turn the call over to Soroush.
Soroush Salehian: Thank you, Andrew and good afternoon everyone. 2021 was a monumental year for Aeva in which we became a public company and raised more than $500 million in net proceeds. Over the course of the year, we achieved important milestones that moved us meaningfully closer to bringing our unique 4D LiDAR technology to market. I would like to highlight a few of our 2021 accomplishments, which are summarized on slide five. First, we significantly expanded our leadership position in 4D LiDAR technology with the largest portfolio of FMCW patents among peers in the industry. New advancements that raise the bar and perception and equally important matured our technology to our commercialization. In Q4, we completed development of Aeries II, the world's first 4D LiDAR offering camera level resolution with 500 meters of range and the crucial dimension of instant velocity, all and automotive reliable and compact form factor that leverages proven semiconductor processes to enable mass scalability. Second, as more customers experienced the advantages of Aeva's 4D LiDAR that does accelerate our commercial momentum. We deepen our relationship with key partners, such as supporting TuSimple with Aeva 4D LiDAR under trucks that achieve the world's first, fully autonomous run on open public roads, establishing a foundational agreement with our undisclosed customer for development through to production and securing a production win with Plus, which is on track to start initial deployment in late 2022. We also announced our first expansion beyond automotive was a collaboration with Nikon to bring Aeva 4D LiDAR to the $10 billion industrial automation and metrology markets. Third, we solidified our supply chain as we continue to progress towards production. This included selecting Fabrinet to manufacture our LiDAR chip module, which is the heart of our LiDAR with all core sensing components integrated onto a silicon photonics platform. The new production line is automotive qualified with plans to scale, to support mass production volumes. And four, we more than doubled our team last year and has assembled a group of leaders experienced in developing and scaling these technologies. Combined with $445 million in liquidity at the end of 2021, we are well-positioned with the talent and resources to continue executing on our plan to bring Aeva 4D LiDAR to scale. Turning to slide seven. On our inaugural earnings call last year, we shared our key objectives for 2021, and I'm pleased to share that we accomplished all of them on or ahead of schedule. Our ability to execute on our plan is a testament to the strong team we have assembled at Aeva and our commitment to our mission, as well as the growing demand for our unique FMCW technology. Moving to slide nine. I would like to provide more color on our key business updates. We are proud to have supported our partner TuSimple on their significant milestone of becoming first in the industry to successfully operate a fully autonomous semi-truck on open public roads. Aeva 4D LiDAR is the only long range LiDAR on TuSimple's on-road fleet, using our unique instantaneous velocity data TuSimple's perception stack can classify objects and growth hazards as long ranges with greater confidence, which provides additional response time for the safe operation of autonomous trucks. We continue to progress well with TuSimple's development milestone and look forward to supporting additional driver-out operations and expansion of TuSimple's on-road fleet. Turning slide 10. Earlier this month, we unveiled Aeries II, which is world's first commercially available 4D LiDAR that is built for automotive grade reliability and leverages silicon photonics technology to enable volume scalability. Aeries II represents a significant leap forward for LiDAR that we believe will open the door to accelerating autonomous programs where high performance sensing is crucial to achieving the next level of automation. Aeries II delivers new real time perception capabilities enabled by Aeva's unique FMCW technology and now possible with legacy time-of-flight LiDAR sensors. The first is Ultra Resolution which delivers camera level resolution for the static world with up to a thousand lines per frame, or up to approximately 20 times the resolution of legacy time-of-flight solutions. At 4D localization, which leverages Aeva's unique velocity data to estimate the motion of the vehicle itself, effectively serving as an independent navigation solution and enabling redundant, functionally safe positioning for our customers. This enabled and Aeva equipped vehicles to always where it is even in environments where GPS can be challenged, such as tunnels or parking garages, an important capability needed for higher levels of automation. Aeries II is designed for automotive grade reliability across a variety of and environmental conditions. And a quarter of the size of our previous generation, it enables multiple integration options across diverse applications such as passenger vehicles, trucks, industrial bus, and more. Within Aeries II, we utilize our breakthrough LiDAR-on-chip architecture, which integrates all core sensing components, lasers, detectors, and optics onto a silicon photonics chip module. To our knowledge, Aeva remain the only company to have successfully achieved this level of integration and performance. By doing so, we are able to remove all fiber and significantly lower total system component counts. This reduces overall complexity, increases that reliability and allows for higher levels of automation in manufacturing scale. Importantly, Aeries II marks the next stage enables path to commercialization. In late Q2, we expect to begin deliveries to our customers for them to develop and validate for their programs. This includes deployment for Plus trucks beginning in late 2022. Over the course of this year, we also expect to build on our commercial momentum, as additional potential customers begin using Aeries II. As we have noticed over the past year interest for Aeva's FMCW approach has accelerated, and we are very encouraged by the strong reception so far with Aeries II. We look forward to converting more programs towards production, with a continuous focus to align with companies that have a shared determination and ability to deploy LiDAR on mass scale. Switching gears to now automotive, let's move to the next slide, which highlights an exciting development for industrial applications. Last year, we announced a strategic collaboration with Nikon to bring next-generation high precision solutions to the industrial automation and metrology markets, using Aeva's 4D LiDAR that measures objects at the micron level, which is about a thousand times more precise than we can be achieved with typical legacy 3D LiDAR. We do this utilizing the same core chip architecture that we have developed for automotive, which we believe will result in a solution that is meaningfully smaller and lower cost relative to what is currently available. For Aeva, this also enables us to drive greater economies of scale across our different applications. Since announcing the collaboration, we have made good progress together with Nikon, including defining our first product in industrial metrology, as well as achieving micro level precision using our LiDAR-on-chip module. This is enabling us to pull forward the timing of our first product launch by one year, now targeting 2024. Beyond industrial metrology, the combination of high precision and small form factor of Aeva 4D LiDAR opens up a number of other unique industrial applications for performance, size and cost have been limiting factors, such as machine tooling, infrastructure, and other volume and manufacturing. Collectively these applications represent a $10 billion and growing market, and we look forward to pursuing these opportunities. Moving to the next slide, I would like to share with everyone, our plans and objective for 2022. We have been highly encouraged by the growing demand to deploy Aeva's 4D LiDAR technology and with launch of Aeries II, we plan to build on the strong progress achieved last year. We believe this will enable us to accelerate our timelines to commercialization and to meet the increasing demand for our technology, as OEMs and autonomous players increasingly see FMCW as a key enabler to the next-generation of autonomy. In light of this customer and market tool, we have made a strategic decision to proactively accelerate our shift from NREs towards scale deployment of the Aeries platform for commercial programs, particularly once we believe have the highest potential for success. As we have discussed before our mission at Aeva is to bring the next wave of perception for everything, and our approach to partnerships remain focused on aligning with companies that have a shared determination and ability to deploy LiDAR on mass scale. And by pulling forward our transition from NREs towards scale deployment, we can begin scaling volumes earlier. Importantly, we continue to progress towards production with all of our key partners and continue to deliver on program milestones. This is also the case in non-automotive, where we have defined our first product in industrial metrology with Nikon, and we are pulling forward the industrial launch by one year targeting 2024. We feel confident in our ability to continue to progress towards production and we plan to expand our commercial momentum in 2022. If we continue to execute this year, we believe the momentum will enable us to achieve our target of 2024 for volume production for automotive, as we have discussed before, as well as accelerate the launch of our industrial application. In terms of specific objectives for this year, our first is to deploy Aeries II to customers for qualification. We have already begun bring up of initial units and expect to start deliveries in the second quarter. Second, we aim to convert two additional programs towards production. We are encouraged by the growing interest for Aeva FMCW approach, and we expect to build on our commercial momentum as additional customers begin testing and development with Aeries II. Third, we will accelerate the release of our first non-automotive application. Now that we have defined our first product with Nikon and our pulling forward our timeline to 2024, we plan to leverage the momentum from our LiDAR-on-chip module as we continue to see strong inbound interest and put our focus and resources towards additional opportunities that align with our mission to bring Aeva 4D LiDAR to mass scale. And fourth, we will be working closely with our supply chain to prepare for commercial deployment. This includes ASPICE and applicable ISO certifications, as well as preparing our supply base for scale deployment. And with that, I will turn the call over to Saurabh to discuss the financials.
Saurabh Sinha: Thank you Soroush, and good afternoon, everyone. I would like to start with a summary of our fourth quarter financial results. Revenue in the fourth quarter was $2.9 million, reflecting consistent progress we continued to make on customer development milestones. Non-GAAP operating loss was $25.7 million in the fourth quarter, driven primarily by R&D expenses related to product development and to a lesser extent, G&A and sales and marketing expenses. Growth cash use, which we define as operating cash flow less capital expenditure, was $26.6 million for the fourth quarter. As a result, our balance sheet remains strong with cash, cash equivalent and marketable securities totaling $445 million at the end of the fourth quarter. Finally, our weighted average shares outstanding in fourth quarter were $214.3 million. Turning to full year 2021 results, revenue was $9.3 million, representing 91% year-over-year growth. Non-GAAP operating loss was $81.9 million and growth cash use was $86 million, which is at the low end of the $85 million to $95 million range provided last year, demonstrating a continued discipline in how we invest for growth. Now on our financial outlook for 2022. We continue to progress towards production with all of our key partners and remain on track with their development milestones and timelines, while also pursuing opportunities with new customers. As Soroush mentioned, we are accelerating our path to commercialization. While strategically speeding our transition from NREs towards scale deployment of Aeries will reduce contribution from NREs in 2022, we believe this will enable us to begin scaling commercial programs with product sales revenues earlier than previously contemplated. As such, we expect revenue in 2022 to be in the range of $8 million to $12 million, representing and up to 30% year-over-year increase depending on the scaling of Aeries deployment. Based on the timeline of our customers' development milestones and the expected Aeries ramp, we expect revenue to be back end loaded in 2022. Turning to non-GAAP operating expense, which exclude stock-based compensation and other potential non-recurring charges, we expect this to be in the range of $140 million to $150 million in 2022, which primarily reflects our growing team and incremental investment in product development and initiatives to accelerate towards commercialization. In summary, the results in 2021 highlight our ability to execute all our plan to bring Aeva 4D LiDAR to market. And looking forward, we remain well-positioned with our balance sheet to continue investing to support our expanding number of customers and accelerated timeline towards commercialization. With that, I'll turn it over to Soroush for closing remarks.
Soroush Salehian: Thank you, Saurabh. Before we start with Q&A, I would like to thank the Aeva team for their significant contributions that made 2021 the monumental year that it was. This culminated with the early release of Aeries II, the world's first automotive reliable 4D LiDAR that we plan to leverage and accelerating our path to commercialization. To all of our stakeholders thank you for the ongoing commitment and confide enable us breakthrough 4D LiDAR technology. We're off the strong start in 2022, and we look forward to sharing future developments as we work to bring out 4D LiDAR to market. And with that, we will now open the line for questions.
Operator: Thank you. At this time, we will be conducting a question-and-answer session. [Operator Instructions] Our first question is from Colin Rusch of Oppenheimer. Please proceed with your question.
Colin Rusch: Thanks so much guys, and congrats on all the progress. Could you talk a little bit about the process with Fabrinet from here? Obviously, getting them onboard is an important benchmark, but they're known for bringing a lot of value out engineering to the processes. So just curious how closely you're working with those teams and what's -- what benchmarks you guys are watching for or signpost for us to be thinking about in terms of meaningful progress with the preparations around.
Soroush Salehian: Sure. Yeah. Happy to answer that. So, we, recently, being setting up a dedicated product line there with Fabrinet to bring up our production for scalability. And this is definitely crucial for our ability to scale up Aeries II later on this year. And one of the key drivers that we're working through with them is really enabling higher level of automation for manufacturing. So, that's going to be one of the focus areas for us with a team this year that we're going to be focused on.
Operator: Our next question is from Suji Desilva of ROTH Capital Markets. Please proceed with your question.
Suji Desilva: Hi, Soroush. Hi, Saurabh. Congratulations of the progress here in the first year. So, I was curious in the industrial market, how you were able to pull-in that program a year, was that a customer driven pull-in, or was that your technology advancing faster? I'd be curious on the color there. And also, can similar pull-ins be contemplated or achieved potentially in the automotive market versus the industrial. Thanks.
Soroush Salehian: Yeah. Suji, sure. Happy to. Yeah. So, first of all, I think it's both. So, we're obviously excited and continue to make progress on the collaboration opportunities we have, especially on this, $10 billion existing industrial metrology on emission markets. And we have made significant progress in Nikon in the past quarter. As I mentioned on the call, so including defining our first product there with them. So it is the customer pool that we see as a key driver for that. But also in addition to that we've been able to achieve micro level precision using the same LiDAR-on-chip module that we have been developing for automotive that we talked about last year. So, there -- it's a combination of both and reaching a combination point where we see the opportunity to be able to now pull that in further. And obviously, we can gain better efficiency that LiDAR-on-chip module that we have already developed for automotive there to enable those applications. So, we continue work with Nikon and also expand collaboration there. And we'll be also looking at additional opportunities there beyond industrial metrology where we plan to capitalize on.
Operator: Our next question is from Tristan Gerra of Baird. Please proceed with your question.
Tristan Gerra: Hi, good afternoon. Regarding your revenue guidance for this year. So if I analyze the quarterly one rate exhibiting last year, and also given your commentary that you expect 2022 to be back end loaded, any particular reason then to why we should expect the lighter quarterly revenue in the first half or maybe the first three quarters before getting back to last quarter as run rate, exiting 2022, particularly as you ramp -- you start ramping deliveries early Q2.
Saurabh Sinha: Yeah. Tristan, this is Saurabh. So, as I mentioned in the prepared remarks, our revenue comprise of both NRE and ramp of Aeries II. Ramp of Aeries II start only towards the end of Q2 and therefore, it'll be back end loaded, Q3 and Q4 will be heavier quarters, and NRE revenues dependent upon customer development and milestone.
Operator: Our next question is from Joe Moore of Morgan Stanley. Please proceed with your question.
Joseph Moore: Great. Thank you. To the extent that you talked about scaling up your manufacturing volume capability kind of towards the end of this year. Can you talk about what that mean for 2023? I assume you are talking about more -- the sort of lower volume applications that you're manufacturing for, but can you just kind of characterize what you mean by scale manufacturing? What kind of capability that will bring you?
Soroush Salehian: Yeah. Sure, Joe. So, we're obviously working through with our supply chain to scale manufacturing capacity. So what this really means is a couple areas. First of all, we're going through scaling of Aeries II in terms of volume scalability later this year. And that is, of course, available with our supply chain, including Fabrinet that we were talking about earlier on the call. But also we're going to be leveraging Aeries II launch to deploy to our customers that are looking to do their initial deployments later this year, including Plus, where we have a production win, but they're actually starting the deployments at the end of this year already. So, this is why we have to, of course, scale up our Aeries platform. And what this really means for us is that -- look, if we continue to execute, we believe that momentum carries us through to actually continue hitting our target for 2024 volume production. And, of course, to do that, we have to start the scaling of that throughout this year.
Operator: Our next question is from Sam Peterman of Craig-Hallum. Please proceed with your question.
Sam Peterman: Hi, guys. As your revenue shifts away from NRE this year and more towards product, can you talk a little bit about what the gross margin impact that will be? I think you guys exited the year over 50% in your stack projections, and looks like you were aiming for over 50% again, is that something that's feasible as you ramp up manufacturing with Fabrinet and others?
Saurabh Sinha: Yeah. Sam, this is Saurabh. So, as I mentioned before, our gross margins are expected to fluctuate until we reach production in 2024. As of now, we have a mix of both product revenue, as well as NRE. And so, the fluctuations are expected to continue and we provide more updates as we go along.
Operator: Our next question is from Arvind Ramnani of Piper Sandler. Please proceed with your question.
Arvind Ramnani: Hi. Thanks for taking my questions. Really appreciate the update on the -- sort of leaping forward with the Aeries and the color on this year. But as we look over the next sort of two or three years, and some of the projections you're provided as part of the sort of initial kind of discussions, initial spec discussions kind of last year, how should we think of some of the projections sort of into 2025 and beyond?
Soroush Salehian: Sure. Yeah. Arvind, thanks for the question. So, first of all, obviously we're not commenting on financial outlook beyond this year. But as I said, we're seeing strong interest for technology and plan to expand our commercial momentum this year. We are on track with all of our customers that we have talked about for production. And as a matter of fact, not only have we hit the milestones, but actually accelerating some of those programs, including on the industrial side that we talked about today. So, overall, we are seeing actually strong interest for our technology and plan to expand that momentum. With Aeries II, I think the interest has been quite strong and we are planning to leverage that interest and capitalize on it later this year to work towards converting additional new programs towards production. So, all-in-all, if we continue to execute this year, we believe we'll be in a really good position to carry the momentum for all of our programs and to achieve our target of 2024 for volume production for automotive. And as we talked about earlier, we're now also able to pull industrial from 2025 to 2024. So, whole production volume targets are now starting in 2024.
Operator: Our next question is from Pierre Ferragu of New Street. Please proceed with your question.
Pierre Ferragu: Thanks for taking the question. So, I just wanted to come back to your -- the second objective you outlined for 2022, converting two additional programs to our production. So, just to make sure I understand that where today, which are the programs you consider already converted, is that just Plus, or is that more than that? And then, when you talk about converting two, or maybe none of them actually, and then when you talk about converting towards production, does that mean production starting this year with Aeries II? Or is that like putting on the planning production minor -- specific production milestones program, but beyond 2022?
Soroush Salehian: Yeah. Sure, Pierre. So, first of all, as we talked about in the past quarters, so, Plus, of course, is one of the programs on the production side that we have converted, also undisclosed customer that we talked about last year, which we continue to make progress with and hitting our milestones with working through together through development into production. And so, it's similar types of programs we're talking about here in terms of programs towards production. And we're planning to bring in additional two types of programs that are similar in this -- similar capacity. So, that's effectively the type of programs that we're talking about here.
Operator: We have reached the end of the question-and-answer session. This concludes today's conference, and you may disconnect your lines at this time. Thank you for your participation and have a great day.